Operator: Hello, and thank you for standing by. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to the SkyWest Inc. Fourth Quarter and Full Year 2023 Earnings Results Conference Call. [Operator Instructions] I would now like to turn the conference over to Rob Simmons, Chief Financial Officer. Please go ahead.
Rob Simmons: Thank you, Regina, and thanks everyone for joining us on the call today. As the operator indicated, this is Rob Simmons, SkyWest's Chief Financial Officer. On the call with me today are Chip Childs, President and Chief Executive Officer; Wade Steel, Chief Commercial Officer; and Eric Woodward, Chief Accounting Officer. I'd like to start today by asking Eric to read the safe harbor, then I will turn the time over to Chip for some comments. Following Chip, I will take us through the financial results and Wade will discuss the fleet and related flying arrangements. Following Wade, we will have the customary Q&A session with our sell-side analysts. Eric?
Eric Woodward: Today's discussion contains forward-looking statements that represent our current beliefs, expectations and assumptions regarding future events and are subject to risks and uncertainties. We assume no obligation to update any forward-looking statement, whether as a result of new information, future events or otherwise. Actual results will likely vary and may vary materially from those anticipated, estimated or projected for a number of reasons. Some of the factors that may cause such differences are included in our 2022 Form 10-K and other reports and filings with the Securities and Exchange Commission. And now, I'll turn the call over to Chip.
Chip Childs: Thank you, Rob and Eric, and good afternoon, everyone. Thank you for joining us on the call again today. Today, I will recap our fourth quarter and full year 2023. Throughout the year, we executed on our business objectives to first and foremost take care of our people, to deliver on our partner commitments, and to maximize our risk as we optimize our capital deployment. Our unique model of collaborating with our people enables us to rapidly respond to both challenge and opportunity as well as deliver the best product in the regional industry. We believe this unique collaborative approach not only benefits our people and our product, it's been a fundamental part of our success for over 52 years and will continue to help the SkyWest team lead the industry forward in 2024 and beyond. I'm very proud to share that in 2023 SkyWest teams delivered a historic 300 days of 100% adjusted completion, besting our last annual completion record by over 100 days. Safely and reliably connecting people with global access via our four major partners is the business of our product, and we're proud to do it better than anyone else in our space. This extraordinary achievement takes significant planning, preparation, and teamwork, and I want to thank our nearly 14,000 people, who worked together to provide an exceptional product to 38 million passengers last year alone. Today SkyWest reported net income of $18 million or $0.42 per diluted share for the fourth quarter of 2023 and full year 2023 net income of $34 million or $0.77 per diluted share. Overall, our partnerships are strong and demand for our product remains extremely high. While 2023 was a little bumpy. We're pleased with the performance and our expectations for production and profit are improved since our estimates last quarter. As shared last quarter, captain attrition has begun to improve and the fourth quarter showed the lowest attrition we've experienced in two years. With industry wide hiring also seeming to stabilize, we expect continued progress in 2024. As we all know, captain development takes extensive time and it will still be years to fully restore our crew balance and production. As I mentioned earlier, we are continually looking for ways to best take care of our people. Through ongoing investment and enhanced compensation packages over the past couple of years as well as improved opportunities for those who are looking to transition to mainline. We recognize that pilots have more options than ever before and appreciate that they are recognizing the value proposition at SkyWest. In Q4, we announced a new pilot program with United exclusively for SkyWest pilots. This program provides a clear path to United early in SkyWest pilot career with a conditional offer from United at 400 hours for those accepted. This innovative program benefits both our pilots who want to transition to United as well as those who want to build a successful career at SkyWest by ensuring that those in the program contribute flying through SkyWest captain requirements. Shifting gears, we recently completed the acquisition of a 25% stake of Contour Airlines, a small operator in the Part 135 space for $25 million. This minority interest stake strategically positions us to further monetize our existing CRJ assets through an asset provisioning agreement and to establish another pipeline for pilot supply. We will continue to evaluate opportunities to smartly and accretively deploy our capital. SkyWest Charter or SWC as continuing to successfully complete on demand charter flying since it began operations last year. We continue to believe that SWC is the best possible answer for small community air service and regardless of the status of our pending application for commuter authority at DOT. We're pleased with the strong demand for SkyWest product and are very optimistic about its future. That said, it is and will remain a small portion of our overall business with our primary focus remaining on our contract flying and major partner relationships. As always, we remain disciplined to ensure our capital is deployed effectively and profitably. Overall demand for each of our products remains exceptionally strong and we remain aggressive and disciplined to advance our position at the forefront of the regional industry for our people, our partners, and our shareholders. As we deliver on our business fundamentals, we remain laser focused on executing reliably for the long game. Looking forward, there are still headwinds, but we believe no regional entity is better positioned and we're optimistic about the opportunities ahead. Rob will now take us through the financial data.
Rob Simmons: Today, we reported a fourth quarter GAAP net profit of $18 million or $0.42 earnings per share. Q4 pre-tax income was $24 million. Our weighted average share count for Q4 was $41.8 million and our effective tax rate was 28%. First, let's talk about revenue. Total Q4 revenue of $752 million is down 2% sequentially from Q3 2023 and up 10% from Q4 2022. Q4 revenue breaks down with contract revenue down 2% from Q3 and up 8% from Q4 2022. Prorate and charter revenue was $111 million in Q4, flat from Q3 and up 37% from Q4 2022. Leasing and other revenue was flat sequentially and down by $3 million year-over-year, reflect a reduction in airport customer service contracts. These GAAP results include the effect of $63 million of revenue deferred this quarter compared to $56 million deferred in Q3 to and $70 million that was deferred in Q4 2022. As of the end of Q4, we have $367 million of cumulative deferred revenue that will be recognized in future periods. As indicated last quarter, we expect to recognize previously deferred revenue of roughly $5 million to $10 million in Q1 and approximately $50 million to $70 million in 2024. Additionally, for modeling purposes, about half of our non-operating below the line other income in the fourth quarter included a non-recurring cash gain associated with the resolution of a prior year matter. Let me move to the balance sheet. We ended the quarter with cash have $835 million, up $15 million from $820 million last quarter. The $15 million increase in cash during the quarter included the accretive actions of number one, repaying $116 million in debt, number two, buying back 1 million shares of SkyWest stock in Q4 for $45 million at an average price of $45.20 per share. During the full year 2023, we have repurchased 10.6 million shares were approximately 21% of the outstanding shares of the company for $289 million at an average price of $27.30 per share. And number three, acquiring two new E175 aircraft that were debt financed. Our CapEx during the fourth quarter was $86 million. We ended Q4 with debt of $3 billion down from $3.4 billion as of year-end 2022. These cash related numbers tell an important story about the quarter that we continue to generate positive free cash flow from operations despite production constraints. Our strong free cash flow also benefits from a lower investment in CapEx than in prior years. Our balance sheet and solid liquidity continue to be powerful tools to create shareholder value, tools that have helped us repay over $400 million in debt and repurchase over 21% of our outstanding stock during 2023. Consistent with our policy and practice, we are not giving any specific EPS guidance at this time, but let me give you a little color on 2024. From last quarter's color, we now expect 2024 to be even more profitable from higher expected production. This improvement versus our expectations a quarter ago is driven by Q4's pilot attrition being at the lowest level in two years. As Wade will discuss in a minute, we now anticipate our 2024 block hours to be up 3% to 5% over 2023, up from the expectation of flat year-over-year production a quarter ago. Our expectation for growth in block hours in 2024 is driven by improving pilot attrition, increased in utilization and ongoing strong demand for our production from our partners. We anticipate our 2024 income tax rate will range between 25% to 27%. As the 2023 GAAP noise from deferred revenue starts to reverse in 2024 and including the benefit from our share repurchase activity this year, we expect our 2024 GAAP EPS to again have a $6 handle where we were pre-COVID reflecting our stronger production outlook. Our solid balance sheet, reliable cash flow from operations and strong demand for our product provide a catalyst for improving our return on invested capital, including the following. As a result of repurchasing 10.6 million shares during 2023, we had 40.2 million shares outstanding as of December 31, 2023. As of December 31st, we had $91 million remaining under our current share repurchase authorization. We anticipate continuing to be opportunistic in repurchasing shares going forward, although likely at a significantly slower cadence than in 2023. Over 2023, we executed on our balanced capital deployment by also repaying over $400 million in debt. Our debt net of cash continues to be lower than our pre-pandemic levels of 2019. The underutilization of the fleet in place today can accommodate 14% ERJ future block hour growth and 35% CRJ future growth in block hours. Wade will give more color around this in a minute. Our capital expenditures were $252 million in 2023, including an early lease buyout on 35 CRJs earlier in the year and the acquisition of two new E175 aircraft. We anticipate our 2024 CapEx will be approximately $275 million to $325 million including the purchase of five new E175s in 2024. Our investment in Contour mentioned earlier by Chip will give us an important channel to deploy and monetize our excess CRJ200 aircraft and engines in underserved communities. We believe that our strong cash position and the actions we are taking now to prepare the way over the next couple of years for incremental utilization of our fleet to work through the pilot shortage affecting the industry and to preserve the optionality of monetizing strong demand opportunities over time will position us well to drive total shareholder returns. Wade?
Wade Steel: Thank you, Rob. Last quarter, we announced a flying agreement for 19 new E175s to and placed 19 CRJ700s under our United contract. We anticipate four of the E175s will be delivered in the fourth quarter of this a year, seven in 2025 and eight in 2026. These 19 are in addition to the two remaining E175s currently on order. During the fourth quarter, we received two E175s under our Delta contract. We expect delivery of one more in 2024 and the last in 2025. At the end of 2026, our E175 fleet total will be 258, continuing to solidify SkyWest as the largest Embraer operator in the world. There are still over 165 to 76 seat aircraft to be awarded and we are optimistic about our chances to operate some of these scope aircraft. The debt remaining on the 19 CRJ700s will be repaid by the time they come out of contract with United. We are working to place these 700s under flying agreements and believe they will be extremely valuable to our partners as they move to replace single-class 50C product with dual class aircraft. These aircraft are some of the newest next gen CRJ700s in the world. Let me review our production. The fourth quarter completed block hours were flat as compared to the Q3 of 2023. Based on the current schedules we have from our major partners for Q1, we anticipate that our first quarter block hours will be consistent with the fourth quarter. With regard to staffing, we have seen an improving trend in our captain attrition and anticipate that our 2024 block hours will increase by 3% to 5% as compared to 2023. I would also remind you that we can add approximately 14% more block hours to our ERJ fleet before adding any aircraft. This same number is over 35% for our CRJ fleet and makes each additional block hour accretive to the model. Our partners remain very engaged in supporting our efforts to restore production. During the quarter, we also came to an agreement with United on a pilot pathway program for SkyWest pilots. This new agreement will allow our current pilots to interview and receive a job offer with United at as early as 400 hours of flying time with SkyWest. The pilot will then transition to United once they have flown as a SkyWest captain for a certain amount of time. This new program provides enhanced career clarity for all of the SkyWest pilots who join. We also announced today we acquired 25% ownership stake in Contour Airlines. A Part 135 carrier for $25 million. This arrangement also includes an asset provisioning agreement under which SkyWest will provide CRJ airframes and engines to Contour. This ownership stake is part of our strategy to accretively monetize our CRJ200 assets. We have very little book value for our CRJ200 assets and no debt. And we have approximately 5 million cycles remaining to monetize on our CRJ engines through a variety of different platforms. Both SkyWest Airlines and SWC, our new charter business, we'll also continue to utilize our CRJ200 assets. We continue seeing very good demand for selling and leasing these assets. For example, we sold over $15 million of CRJ assets during 2023. Let me give a brief update about the status of SWC. SWC began operating on demand revenue charter flights last April, and we have been investing in training and hiring of employees since that time. We are pleased with SWC's progress, and the sport charter bookings for this winter have been significantly higher than we had originally anticipated. While SWC did not contribute to our Q4 earnings, we anticipate SWC will have a positive contribution to our earnings during Q1 of 2024. As far as our prorate business, the demand remains extremely strong, just like the rest of the industry. We are seeing very strong yields and great community support. We will continue to work with the communities we serve on the best way to continue our service. We feel good about our ongoing efforts to reduce risk and enhance fleet and financing flexibility and remain committed to continuing our work with each of our major partners to provide creative solutions to the continued exceptional demand for our products. Okay. Operator, we're ready for the Q&A with our sell-side.
Operator: [Operator Instructions] Our first question will come from the line of Savi Syth with Raymond James.
Savi Syth: I was wondering if you could, I know it's a smaller part of your business, but I was wondering if you could elaborate a little bit more on Southwest Charter and then how that's in a place with maybe some of your prorate, because I know you mentioned $111 million? Does prorate and Southwest Charter kind of balance each other out in the sense that it takes out the seasonality of that line item? And you grew the aircraft there to 16%. Just wondering how you're thinking about Southwest Charter as you get into 2024?
Chip Childs: Look, SkyWest's charter is a great entity from our perspective that has a tremendous opportunity in the future. The number one thing that SWC is doing today is largely doing on demand charter for sports teams which is a very surprising market, I think we talked about that last quarter, it's doing exceptionally well, strong demand, we're watching for the springtime to see what happens there. And again, so we are limited today to just do on demand charter business, there's a lot of other things that are happening besides just sports teams, but as of today that's the primary basis of that business model. We still need to receive commute authority before we can go back into some of the cities that we would like to the smaller communities we would like to serve. That's what our objective is all along. And there's tremendous demand from that standpoint, but we still are limited to the flying that we can do today.
Savi Syth: Maybe just how does kind of Contour fit into this? Is Contour, it sounds like it's a way to put your CRJ assets to kind of operate there. But is there kind of opportunity to build kind of pilot hours and kind of build your captain roles as well or just any I was just kind of curious as to the full strategic relationship there?
Chip Childs: Yes. Let me maybe expand a little more than what we talked about in our opening comments. So I think I would probably say there's about four reasons why we were interested in the Contour transaction. First and foremost, it's a good financial investment that's anchored in small community demand and we continue to say this a lot in the industry. As the United States deurbanized during the pandemic, there's a tremendous amount of demand in these small communities and we are very pro small community. I mean that's the foundation of what we started with 52 years ago and that's only becoming more and more enhanced. So it's a good investment in a very strong space that we really, really like. Two, you're right, it's A way to deploy unused CRJ200 aircraft and assets, engines and the like, I think that that is a fantastic aircraft particularly at the 30 seat level to really enhance the economics of small communities and the demand for that product is extremely strong today and as we deliver in that space, we think it's only going to get stronger just the same way that we've been doing at SWC. So this is good for us and them. Again, the other thing is that you touched on it. The expansion of supply pilot supply pass is very, very strong here. We can do some things. We didn't really mention it in the opening comments, but the flight schools today are extremely full, so full that given our captain constraints, we may not be able to hire as much as that's out there or certainly as much as we feel like we should hire. But to the extent that we can expand that, particularly with this relationship with Contour that's fantastic. And last, it does provide some opportunity and some flexibilities for us in 135 expansion down the road. We can do some various things down the road with Contour that I think could be representative of our commitment to serve small communities in the 135 space. So strategic, it's a great partnership. We've had this conversation with them for a while and, I think this is going to be something that works very well for both of us.
Savi Syth: Just a clarification, do they have Charter Authority as Second Leader Authority?
Chip Childs: Yes. They do have Commute Authority. And ironically, as we've been constrained with captains and have had to come out of certain essential air service cities, they've been the ones that have gone back and replaced us along the East Coast. So they can do some things that we can't as of today, but we are going to be very aggressive in continuing to pursue commute authority for SWC as well even with the Contour investment.
Operator: Your next question comes from the line of Duane Pfennigwerth with Evercore ISI.
Duane Pfennigwerth: Just on the 14% headroom on ERJ, can you just remind us what percent of your mix that is and how much higher could you take sort of system growth, system block hour growth given that 14% headroom? And I guess relatedly, my follow-up, like if pilot attrition continues to trend favorably, how much higher could this up 3% to 5% be in 2024?
Wade Steel: Duane, this is Wade. Just on the 14%, the overall mix, the ERJ fleet is a bigger fleet right now than our CRJ. And those numbers are disclosed in the 10-Q. But the overall system, we said that its 14% unused capacity on the ERJ side, and we said about 35%. So the mixed blend is over 20% that we could still increase without adding any additional aircraft in there. So, there's still plenty of headroom with our current fleet that we have there that's under contract.
Chip Childs: On your second question on pilots, let me add some color to that and maybe some more color than we've gone to in the past. We are still, when we were in pre-pandemic volumes, we had about 5,300 to 5,400 pilots on property at SkyWest Inc., mostly SkyWest Airlines obviously. As of today, we're still about 1,000 pilots short of that number. So to get back to pre-pandemic levels, we need about 1,000 more pilots, 500 of them captains, the other 500 First Officers. Like I say, the schools are well supplied and that's not a problem, it's about the 500 captains. The demand that we see long-term is that we probably could use another 1,000 pilots on top of that. So, when we talk about small community service, when we talk about demand, the conversations with our partners, to get back to the previous levels, we need another 1,000 pilots and we think there's demand for another 1,000 pilots on top of that of which we have taken several aircraft since 2019. So this is a long-term dig ourselves out of this hole. This is not going to take one-year or two-year, it's going a couple of years. When we say we're optimistic about the captain supply model, I can say that we're producing captains as of today, but not as many as we want. And throughout 2024, we're going to evaluate additional programs to make sure that we're vertically integrated with our partners to try to expand that cabin production even further. So, I don't know if that kind of helps put some framework around your question or not, Duane.
Operator: Your next question comes from the line of Mike Linenberg with Deutsche Bank.
Mike Linenberg: Wade, I want to go back to, you talked about I guess, 165, 76 seat type opportunities among -- I guess amongst your partners. And I guess I want some clarity clarification of that. Is that 165 available spots for 76 seaters, 70 seaters, 66 seaters? Is it just the three or I should say actually four carriers that you do business with, does that include other major carriers that may be looking at bringing on a regional, maybe if you can just provide a little bit of color around that statement?
Wade Steel: So first of all, just to clarify what I said in my script, it was a lot of numbers that I was saying, but it was 165 to 76 seat aircraft, so it's 100 airplanes in that scope category right, so there's 100 airplanes that are available to be awarded between 65 and 76 seats between all of our major partners. And so just to add a little color, we've obviously got our existing fleet that we have. We have some assets that are still not under contract that fall into that category. There's obviously new airplanes out there and there's obviously other carriers that have 76 seat or 70 seat aircraft that are not flying right, and so there's three very good buckets out there of potential to potentially get some of those 100 aircraft.
Mike Linenberg: And then I just, I want to go back to Contour. Is that first off, I guess, on Rob, is that going to be accounted for under the equity method, that 25% stake?
Rob Simmons: For now, yes.
Mike Linenberg: Will that be a contributor to your P&L in 2024 or a detractor or maybe just breakeven?
Rob Simmons: Yes. What we said is that it was not a contributor in the fourth quarter of 2023, but that we would expected, sorry, I'm speaking now that our SWC operation.
Mike Linenberg: Yes, I'm talking Contour.
Rob Simmons: Sorry. SWC will be a contributor contour. We've got a 25% ownership and that will wait and see and give more color down the road.
Mike Linenberg: And then how big is Contour? How many pilots does Contour have today?
Wade Steel: They have about 30 aircraft and somewhere around 200 pilots, somewhere in that range.
Mike Linenberg: And then does Contour today like other Part 135 carriers like Silver and Cape Air, do they have interline agreements with various carriers or they don't have any affiliation with anyone?
Wade Steel: So currently as of the closing of the transaction, they have an interline agreement with American Airlines.
Mike Linenberg: And then just one last one if I can squeeze in on this topic because it is an interesting one. As I recall, you did have an investment in Southern Airways Express, but I now know that that's been kind of rolled into the Surf Air. I'm not even sure if you have a residual stake there. What does this get you that maybe that couldn't get you or maybe the structure with Surf Air and Southern Airways Express wasn't a clean one and this is a lot easier to start kind of with a de novo type investment. Any color on that and thanks for answering my questions.
Wade Steel: Yes. So, Mike, I'll take the first part of that and then Chip will tackle the last part of it. So as far as our investment in Southern, as part of their transaction with Surf, we divested of our ownership stake in that. So, we're, we no longer have ownership.
Chip Childs: And Michael, on the second half of that, there's some big differences between Southern and Contour. Obviously, to become a Contour is almost exactly like SWC and we would like to accomplish with SWC. I mean, it's the same type of aircraft, same type of flying. And Southern was just a smaller aircraft, single engine turboprop that type of stuff. So the fleet and asset connection is the number one difference. And there's a lot of alignment strategically with what both of the carriers could do and from that perspective it seemed to work very, very well.
Operator: Your next question comes from the line of Helane Becker with TD Cowen.
Helane Becker: How are you weighing debt repayment versus buybacks for capital allocation? How should we think about that, like priorities?
Rob Simmons: Yes. Thanks, Helane. And I would say that I don't see them, as being mutually exclusive. Obviously, we're very focused on deploying capital in an optimal way, and I think we've done a pretty good job in that. But we definitely want to leave plenty of dry powder for flying opportunities that may be out there, like Wade and Chip have been talking about the 100 scope airplanes that are out there. We would love to obviously continue to grow that way, but we'll continue that we have an open share repurchase program as well, but we'll probably slow the cadence of that at the levels we're at now, but I think that we'll take things sort of a quarter at a time and look to potentially continue to do both.
Helane Becker: And then my follow-up question, how are you thinking about the timeline back to pre-COVID margins? And I know how you're thinking about getting back to, just size with the roughly 2,000 pilots that you would like to have, but how are you thinking about margins? Or how should we think about margins?
Rob Simmons: Yes. Thanks, Helane. So, look, I think we're not back to 2019 margins yet, and obviously, we're making good progress in that direction. But because of how we've deployed capital and the shares that we bought back, we are there from an EPS standpoint. So even though margins are not back to 2019 levels, potentially in 2024 EPS will be.
Helane Becker: And then if I could just squish in one more. I don't know and I don't even know if you would see this, but I think Alaska Air, and you do some flying for them, has seen some book away since the middle of two month. And I'm just wondering if you would see any of that in your, in the flying you do for them or if it's kind of been business as usual?
Chip Childs: Yeah. Helane, this is Chip. In all honesty for us, it's business as usual. In fact, certainly given some of the things that have been going on in the industry, we've been asked to fly more and that type of stuff. So it's not had a major impact relative to what our flying is, in fact, I think demand is strong and I think when demand gets a little stronger sometimes you don't even notice it where we are today. So that's kind of the situation with that.
Operator: Your next question comes from the line of Catherine O'Brien with Goldman Sachs.
Catherine O'Brien: Maybe one more on Contour and the CRJs in general. With these aircraft going to Contour, can you just remind us of how many of your CRJ's are currently not on contract? I know there's some moving pieces. I just wanted to get a sense of what's not on Contour now? What's about to come off? And what are the options for those to be rehomed, selling of this new Contour Avenue?
Wade Steel: So on the CRJ200 side, we own about 150 CRJ200s. And between prorate and contract, there's probably about around 50 to 60 of those that are not under current contracts. But as we said, right now, there's no debt. There's very little book value. And we are monetizing those assets as we talked about through SkyWest Charter, selling, leasing, and so that's kind of the scope of it. Our 700s and our 900s, the vast majority of those are all under contract and have very high demand for those.
Operator: Our next question is a follow-up from the line of Savi Syth with Raymond James.
Savi Syth: I just wanted to follow-up on your response to Duane's question. That was super helpful to give the color there. I was curious. So how many captains are you able to create kind of in any given year in your kind of net captains, I suppose, in your kind of main operation and then just how much incremental is maybe SkyWest Charter helping you build as well?
Chip Childs: So, it's a complicated question and we probably have a little bit of conservatism in our answer to that and basically today a lot of our projections I will say they get better all the time as we watch what's happening. We've seen that change and I want to add some context. As we build back captains and we're back building back the operation. We're building it in a way that we don't think that this problem goes away just this at this moment over the next couple. So we fundamentally think that over the next decade or so, we need to build a model that's resilient relative to captains and first officers both. So as we build that back, we're doing it the right way. Back to your number, how many do you think that you can produce? I'd back up and just say, we have positive captain production today, but it's still going to take, at the rate we're going today, several years to get back to the 2019 levels. Now, the most important part that we probably would tag on to that is we're working very diligently with partners in creative ways in which we can produce captains faster than what we producing today. That's the Contour investment. That's the pilot program investment with United. Fundamentally and strategically, we are going to look to attract pilots that want to be either have a career position here at SkyWest or a career position at are for partners, but not career positions anywhere else. So we're going to continue to be far more surgical in the future than what we have been in the past about identifying those that contribute to our culture and our partners' culture. So, I think, like I said, we're producing positive the last couple of months, which is the first time we've been doing it in the last two and a half years. And it depends on a lot of levels of attrition. It could be captain attrition, it could even be First Officer attrition right before they become captains, which honestly, Savi, we really don't have a great grip on what those are going to be. The models are a little bit all over the place. We can get super optimistic and we can be super conservative. We're just not ready to get into that level of detail now outside just to summarize. We have positive production today. It's going to take a long time, but we're really focused on ways in which we can aggressively move this forward, not just for shareholders, but look, our people want this as well. We want high utilization for our employees, which obviously translates to the bottom line, but most importantly it creates a lifestyle where captains are going to want to stay as well. So it's a cultural event as well that we're deeply focused on.
Operator: Our next question is a follow-up from Catherine O'Brien with Goldman Sachs.
Catherine O'Brien: I had a follow-up for you, Wade, when you were talking about just like sparked my interest. On Contour, are you going to be leasing the aircraft or selling them outright?
Wade Steel: No, that's a great question. So, the model that we currently have right now, we are selling the airframes to them and we are leasing them the engines. And so that's how we've currently structured that with them.
Catherine O'Brien: And then, can you just remind us what the trigger is for you to flip from deferring incremental revenue is starting to recognize that deferred revenue balance? I know you've given us the guidance for next year. I think in the past, you've noticed tied to getting back block hours closer to 2019. Not sure if the contract changes earlier this year changed anything about where we should think about hitting that threshold and just in the context of, like, if that block hour target for 2024 moves around potentially higher, how could that impact the recognition?
Rob Simmons: So the deferred revenue model does depend on sort of our projection or forecast for future production in future block hours. But it's hard to imagine a scenario right now that we sort of flip back the other direction. I think that starting in 2024 as we've indicated that we'll start to recognize sort of small amounts quarterly and we would expect that to continue for many years.
Catherine O'Brien: Yes. I was just more wondering if maybe there was further upside to that recognition if the block hours moved higher, if pilot attrition was better.
Rob Simmons: We'll keep you posted on that.
Catherine O'Brien: And then maybe just I can squeeze on last one in for you also, Rob. You mentioned you expect the pace of share repurchases to flow going forward. Is that a function of just CapEx stepping up over the next couple of years or something else? And kind of rephrasing [indiscernible] earlier question, if your free cash flow projections came in better than expected, would you maybe change your tune on the pace of those repurchases slowing?
Rob Simmons: Yeah, I mean in terms of how we think about deploying capital, it starts as you indicated with generating free cash flow and then we look at the best ways to deploy that whether it be debt repayment, whether it be other operational initiatives, whether it's new flying. I mean, there's a number of ways that we can accretively deploy capital. Obviously, share repurchase has been a very good one in 2023, but as we go forward and continue to generate that free cash flow. We'll look at the spectrum of capital opportunities we have and pick the best NPVs and go from there.
Catherine O'Brien: And I know I said that was my last one, but maybe you'll allow it. Just on SkyWest Charter, can you just help us think about what the delta to earnings should be between 4Q? I think you said it didn't contribute in 4Q and it's going in 1Q. So how much of a drag was in 4Q and how much do you think it will contribute in 1Q if you have that?
Wade Steel: The specific profitability, we're not going to get into that now, but I can kind of directionally give you some revenue numbers that may be helpful for you. So like in the fourth quarter, it was around $5 million or $6 million and then the first quarter, we anticipate it being over $10 million to $12 million in revenue in the first quarter. And so there is a pretty big swing. We're still growing that entity right now. We're still learning a lot about the Charter business. We're still learning about the efficiencies and all of that. So we're still -- we're growing, we're learning, we're getting better at it every day. And so I think with all of those things, we're going to get more cost efficient, and then we're also going to, we're finding more and more revenue opportunities as well.
Operator: I'll now turn the call over to Chip Childs for closing remarks.
Chip Childs : Great. Thank you, Regina. We're really pleased with what we've done in 2023. I mean, there's a lot of challenges and a lot of headwinds and thanks to our amazing professionals at SkyWest for everything that was done this last year. We really look forward to what's going to happen in 2024. We don't doubt that there will be any less headwinds and probably surprises along the way. But I think that we are in the process of making sure we're controlling the line of scrimmage, if you will, so that we have options and flexibility to work with our people and our partners to move forward in a very, very positive way. We appreciate the analysts that are following us as well and the interest that you've given to our company, and we look forward to talking to you next quarter. Thank you.
Operator: That does conclude today's conference. We thank you all for joining, and you may now disconnect.